Operator: "
Omer Karademir: "
Ebubekir Sahin: "
Ümit Önal: "
Unknown Executive: "
Madhvendra Singh: " HSBC Global Investment Research
Cemal Demirtas: " Ata Invest Co., Research Division
Unknown Analyst: "
Operator: Ladies and gentlemen, thank you for standing by. I'm Costantino, your Chorus Call operator. Welcome, and thank you for joining the Türk Telekomünikasyon conference call and live webcast to present and discuss the third quarter 2025 financial and operational results. [Operator Instructions] The conference is being recorded. [Operator Instructions] We are here with the management team, and today's speakers are member of the Board, Ümit Önal; CEO, Ebubekir Sahin; and CFO, Omer Karademir. Before starting, I kindly remind you to review the disclaimer on the earnings presentation. Now I would like to turn the conference over to Mr. Ümit Önal, member of the Board. Sir, you may now proceed.
Ümit Önal: Hello, everyone. Welcome to our 2025 third-quarter results conference call. Thank you for joining us today. Before we begin our quarterly presentation, I would like to take a brief moment to share a few personal words. Following my recent appointment as the Head of Cybersecurity Direct trade under Turkish Presidency, I have transitioned from my executive role as the CEO of Türk Telekom while continuing to serve as a member of the Board of Directors. I am pleased to introduce our new CEO, Mr. Ebubekir Sahin, who assumed his role on October 24. I have full confidence that under his leadership, Türk Telekom will continue to flourish. With that, I would now like to hand over the call to our CEO for his remarks before I return to take you through our third quarter results.
Ebubekir Sahin: [Interpreted] Thank you very much, Ümit Önal. It's a great honor to take on the role of CEO at such an important stage of Türk Telekom's journey. I would like to begin by expressing my sincere gratitude to Mr. Ümit Önal for his leadership and continued contribution as a member of our Board. Telecom today stands on strong foundations built on transparency, accountability, and consistent delivery. As we move forward, we will continue to build on this strength, maintaining an open dialogue with the investment community and driving sustainable growth across all our businesses. I am pleased to meet you all in this occasion. With that, I would now hand the call back to Mr. Ümit Önal, who will deservedly walk you through the third quarter development. And also, I would like to thank him for the good inheritance has left.
Ümit Önal: Thank you, Ebubekir Sahin. First, I would like to take you through some important achievements that marked the period. Starting with concession renewal on Slide #3. I am sure most of you are familiar with this slide, as we had the opportunity to engage with you through our webcast and subsequent meetings to discuss this important milestone in detail. To recap briefly, the renewed concession extends our right to operate and develop Türk's fixed telecom network until 2050 under flexible and manageable financial terms, providing long-term visibility and continuity for our business. The total contract value is USD 2.5 billion plus VAT payable over a 10-year period, enabling a balanced cash flow planning over the coming decade. We have also committed to an investment plan of USD 17 billion through 2050 in areas covered by the agreement. The plan incorporates building flexibility that allows us to maintain our financial discipline. Beyond its financial framework, this agreement reinforces Türk Telecom's leadership position in fixed line services and enables us to accelerate growth in verticals, including AI, IoT, cybersecurity, data centers, and digital platforms, whilst continuing to further capitalize on Türk's fiber transformation. On Slide #4, 2030 targets. Our priority will continue to be FTTH conversion investments, an area that we have been monetizing effectively. Having completed most of the copper-to-fiber transformation, we now aim to significantly expand the share of FTTH connections in our network, targeting 37 million homes by 2030 with FTTH penetration rising to around 76% and fiber subscribers reaching 17 million. By 2030, through accelerated FTTH transformation, we aim to meet the growing demand for high-speed connectivity, enabling a sevenfold increase in average speeds of our customer base from 86 megabits to 570 megabits. This transformation will not only enhance network efficiency and customer experience, but also help contain churn and strengthen ARPU growth potential. On Slide #5, let's look into where we are with the 5G process. We achieved strong results in the recent 5G auction, securing available spectrum that will carry our mobile business into the next phase of growth. We acquired key spectrum blocks in both the 700 megahertz and 3.5 gigahertz bands with a total spectrum fee of USD 1.1 million plus VAT payable in 3 equal installments in January 2026, December '26, and May '27. Following the auction, we became the operator with the highest capacity per subscriber in 3.5 gigahertz frequency and in our overall capacity, expanding our total spectrum portfolio to 315 megahertz. With 56% of our LTE base stations fiber-connected, we are well ahead of global 2030 benchmarks. Our pioneering 5G pilot tests across health care, agriculture, transport, sports, and tourism have showcased our network capabilities and our ability to effectively implement next-generation technologies. Slide #6, financial and operational overview. Consolidated revenues increased by 11% to TRY 60 billion. Excluding the IFRIC 12 accounting impact, revenue growth was 9%. Once again, 22% of EBITDA growth year-on-year was well ahead of the revenue growth, pushing the EBITDA to TRY 27 billion, along with a solid 410 basis points margin expansion year-on-year to 45%. Net profit for the period came in at TRY 10 billion. CapEx, excluding license fees and solar investments, stood at TRY 18 billion. Unlevered free cash flow grew by 14% to TRY 6 billion. Net leverage improved to 0.6x. Slide #7, net subscriber additions. Our total subscriber base reached 56.2 million with 2 million net additions Q-on-Q. Excluding the 178,000 loss in the fixed voice segment, quarterly net additions were 2.2 million. Both mobile and fixed Internet enjoyed strong demand from individual customers during high season, but the mobile additions were further supported by the corporate segment. Fixed broadband base remained flat around 15.5 million. Subscriber dynamics were mostly shaped by pricing and seasonality in the STP market. We gained 15,000 net subscribers in the third quarter, thanks to the 71,000 net additions in retail segment, more than offsetting the losses in wholesale segment in the aftermath of July price revisions. Subscriber activity strengthened Q-on-Q amid a robust back-to-school period with net additions exceeding Q2 levels. Activations were strong across both retail and wholesale segment. Despite intensified recontracting volumes and pricing actions, monthly retail churn averaged 1.2%. Mobile segment added 2.3 million subscribers on a net basis in its historic high performance, pushing up the total base to 30.8 million. Activation volume reached its historically highest quarterly level. This was mostly driven by the postpaid segment, but prepaid acquisitions also came higher compared to same period last year and our expectation. Churn volume, on the other hand, was parallel to same period last year and our expectations. Mobile net additions were further supported by 1.5 million of M2M additions by the corporate segment. Subscriber growth remained on a strong track with 776,000 net additions, excluding M2M. While postpaid segment added 2.1 million subscribers, prepaid segment posted 208,000 net additions, marking its best performance since Q3 '22. Slide #8, fixed broadband performance. We introduced the first price revisions in the wholesale segment starting from July 1. Subsequent to that, we adjusted the retail segment prices for the second time in July for new acquisitions and in August for existing customers. Most players in the market followed our price adjustments to varying degrees. Still, price parity stayed distant but less so compared to prior quarters. Both recontracting and upselling volumes scored higher Q-on-Q and year-on-year. ARPU growth remained strong at 13% year-on-year in Q3 despite last year's exceptional 21% base. The combination of solid upsell and sustained recontracting performance, along with successful price implementation, enabled us to maintain double-digit growth. We expect the robust ARPU trajectory to continue in Q4. Average package speed of our subscriber base increased by 50% year-on-year to 86 megabits, while average speed in retail base reached 94 megabits with 54% growth. 58% of our subscribers now use 50 megabits and packages compared to 44% a year ago. Moving on to mobile performance, Slide #9. Effectively, competitive environment remained unchanged from previous quarter. MMP market where we reclaimed our long-standing net leadership after a pause in Q2, maintained its historic high volume in the high season. That said, we introduced the second price revisions of the year in August, which has been followed by competition. Given that December tends to be the month where promotional activity peaks, we do not expect a major shift in competitive landscape in the final quarter of the year. Postpaid segment recorded 2.1 million net additions in the third quarter. With that last 12 months postpaid net additions surpassed 4 million in total. The ratio of postpaid subscribers in total portfolio rose to 78% from 74% a year ago. Excluding M2M, postpaid base added 569,000 subscribers, marking a strong underlying trend in the segment. Mobile ARPU increased 2% year-on-year over last year's strong 17% base. Obviously, M2M additions had some dilutive impact at the blended level. Excluding M2M, ARPU growth depicted a healthy growth of 8%, thanks to successfully managed pricing and churn, as well as higher recontracting and upsell volumes year-on-year. Excluding M2M, postpaid ARPU was also on a robust trend with 10% growth year-on-year. On Slide #10, let's take a look at the full-year outlook. We were pleased to see first half's robust performance running into the second half in our main businesses. We keep our operating revenue growth and CapEx intensity guidance unchanged at 10% and 29%, respectively. As of the first 9 months, we are looking into nearly 13% operating revenue growth. Although this points to some upside risk to our 10% growth forecast, we prefer a cautious stance against Q4 inflation outlook. We stick to our CapEx intensity guidance as we tend to see an accelerated spending in final quarters. 9-month EBITDA margin has once again surpassed our revised guidance for 41%, thanks mainly to strong operational performance. We now revise our full year '25 EBITDA margin guidance up to 41.5%, taking into account better-than-expected Q3 performance and our expectation of a contained OpEx in the final quarter. Before I finish, it has been an immense privilege to lead Türk Telekom. I must say, a company that stands at the heart of Turkey's digital transformation, whilst adhering to create sustainable growth at all times. I take great pride in having been part of this journey, one that saw us strengthen our balance sheet, accelerate fiber transformation, renew the fixed line concession agreement until 2050, and kickstart the 5G era. These milestones have laid a strong foundation for the next phase of growth and innovation. I would like to express my sincere gratitude to all our investors and analysts for your continued engagement, feedback and trust in Türk Telekom. Your insights have been invaluable in helping us move to the company forward. Thank you. Omer, the floor is yours now.
Omer Karademir: Thank you, Ümit Önal. Good morning and good afternoon, everyone. We are now on Slide #12. In Q3, consolidated revenues increased 11% year-on-year to nearly TRY 60 billion compared to TRY 54 billion in the same period of last year. As a result, total revenues for the 9-month period reached TRY 166 billion, up 14% annually. Excluding the IFRIC accounting impact, Q3 revenue was TRY 55 billion, up 9% year-on-year, including increases of 14% in fixed broadband, 13% in mobile, 21% in TV, and 31% in corporate data, as well as contractions of 1% in fixed voice, 40% in international, and 14% in other segments. Fixed Internet and mobile have continued to lead growth, together making 78% of operating revenue in the quarter. The 2 lines of business made the largest contribution to more than TRY 5 billion higher revenues in total year-on-year. The strong performance was maintained, thanks to seasonal support, ongoing subscriber growth, multiple pricing actions, as well as the contracting and selling performance. The strong pickup in corporate data can largely be explained by the contribution from repricing of contracts and strong growth in certain verticals, such as data centers and cloud, cybersecurity, and managed services. ICT Solutions' revenue strongly bounced in Q3 from a slow pace of project revenues in the first half, but still fell short of last year's figure in the same period due to a significantly high base. The sizable jump Q-on-Q is largely attributable to new projects secured. We expect strong performance in ICT Solutions revenue to continue in the final quarter. In our international business, the decline is largely owing to contracting voice revenue. Moving on to EBITDA. Direct costs fell 2% year-on-year, with interconnection cost and equipment and technology sales costs coming down 42% and 4%, whilst tax and cost of bad debts going up 11% and 8%, respectively. Decline in interconnection costs was driven by contracting international revenue, whereas drop in equipment and technology sales cost was driven by last year's high base, similar to the revenue side of this line item. Annual increase in commercial costs moderated from last quarter to 11%. Other costs remained flat year-on-year. Within other costs, network expense dropped 3% year-on-year and personnel cost rose nearly by 2% under the impact of inflation accounting. Another quarter of successfully continuous cost base led OpEx to sales ratio down from 59% in the same period last year and 58% in the previous quarter to 55%, the lowest level over the comparable 11-quarter period of inflation accounting as operational leverage continued. 22% of EBITDA growth year-on-year was lifted EBITDA to TRY 27 billion from TRY 22 billion a year ago, along with a robust 410 basis points margin expansion year-on-year and 270 basis points Q-on-Q to 55%. Excluding the IFRIC 12 accounting impact, EBITDA margin was close to 48%. As such, 9 months EBITDA margin surpassed 42%, whilst cumulative EBITDA rose to TRY 70 billion with a sizable 23% increase from last year. Operating profit grew 46% year-on-year to TRY 16 billion in Q3, bringing the 9-month total to TRY 37 billion, up 63% year-on-year. Coming to the bottom line, TRY 6 billion net financial expense was nearly 30% lower both annually and quarterly. Annual trend can largely be explained by a 25% increase in USD TRY and Euro TRY rates on average, behind inflation in the same period. Lower interest rates and hedging costs also helped. The quarterly change in exchange rate was about 5% on average, again behind quarterly inflation. Additionally, the impact of volatility in financial markets, which was triggered in March has subsided quickly, leading to lower market interest rates and hedging costs on Q-on-Q basis also. Hence, expectedly, the net financial expense in Q3 proved more favorable compared to Q2. We recorded EUR 3.5 million of tax expense in total, largely driven by current taxes. In a normalizing trend, effective tax rate receded to 26% from 33% a quarter ago. As a result, we recorded TRY 10 billion net income for the period, up more than 150% year-on-year, thanks largely to significantly improved operational performance and lower net financial expense. With that, net income exceeded TRY 21 billion in the 9-month period, up nearly 70% year-on-year. Moving on to Slide #10. CapEx spending, excluding license fees and solar investments was TRY 18 billion, higher Q-on-Q as pace of investments pick up in line with our expectation. As such, 9 months CapEx on the same basis reached TRY 40 billion, taking the cumulative CapEx intensity to 24%. Moving on to Slide #14, debt profile. Cash and cash equivalents of which 25% is FX-based, totaled TRY 14.5 billion. The FX exposure includes U.S. dollar equivalents of TRY 1.9 billion of FX-denominated debt, TRY 1.4 billion of total hedge position, and close to TRY 190 million of hard currency cash. Net debt over EBITDA fell to 0.6x from 1 a year ago and 0.7 a quarter ago. We have been consciously deleveraging our balance sheet for some time in order to comfortably accommodate the upcoming multiple investments. Obviously, that has helped us immensely to successfully raise a comprehensive and efficient financing package in a short period of time. To elaborate on that, we are now on Slide #15. We have recently demonstrated a remarkable capacity to access a wide range of funding sources, enabling us to deliver on our major strategic commitments, notably the fixed line concession renewal and the 5G spectrum acquisition through our solid positioning in our business, robust financial power, and long-standing relationships with key stakeholders. In September, October 2025, we successfully executed a comprehensive USD 1.8 billion financing program, securing the long-term and cost-efficient funding from a wide range of global sources. The package included 4 long-term credit facilities totaling USD 610 million equivalent, USD 600 million 7-year green Eurobond, and USD 600 million with an average maturity of 5 years. These transactions further enhance our liquidity position and extend our debt maturity profile. On the loan side, we obtained highly competitive long-term facilities backed by leading international financial institutions. reflect continued confidence of global lenders in Telekom's fundamentals and disciplined balance sheet management. On the capital market side, we achieved 2 landmark issuances, reaffirming our strong market access and broad investor appeal. The USD 600 million green Eurobond priced at 6.95%, more than triple oversubscribed or the new green issuances attracted more than 100 global investors, with more than 60% allocation to accounts with a strong focus on ESG. The deal expanded our green financing portfolio to USD 1.1 billion, the largest in the Turkish telecom sector. Shortly after, we issued USD 600 million 5-year skruk at 5.6%, marking a historic place for the transaction as the first international corporate skuk out of Turkey. The Sukuk was met with more than 3x demand led by Gulf-based institutional investors. The deal achieved the tightest yield for Turkish corporates since 2022 and for Türk Telekom since it is debut in international debt capital markets, once again, proving our ability to ride large-scale funding at attractive terms. Through this transaction, we secured the resource to fund majority of our commitments for the announced long-term investments of which the payment plan is shown on the table at the bottom. Following the completion of the legal process, we expect to see the accounting impact of the renewed concession agreement in our Q4 '25 financial statements, along with the mentioned financing transactions. Finally, on Slide #16, we recorded USD 410 million short FX position as of Q3. Excluding the ineffective portion of the hedge portfolio, namely PCCS contracts, our short position was USD 450 million. Finally, we generated close to TRY 6 billion of unlevered free cash flow, which carried the 9-month figure to TRY 22 billion. This concludes my presentation. We can open up the Q&A session.
Operator: [Operator Instructions] The first question comes from the line of Singh Maddy with HSBC.
Madhvendra Singh: My first question is on your margins performance. It looks very strong during the quarter. Incrementally, it looks like almost all of your revenues quarter-on-quarter growth in revenues basically translated to EBITDA. So if you could explain the cost dynamics and why the margins are so strong during this quarter, that will be very good. And is that the sustainable level we should think about going forward? So that's the first question. The second question is on your recent concession wins. So just wondering how the depreciation and amortization charges will be treated for D&A expenses going forward? Will you be looking at the entire length of concession? Or is there a straightline method? I mean if you could just talk about the annual number we should think about for D&A going forward, that will be on account of the 5G and the fixed concession that will be great. My third question is on your dividend policy, given that your margins in Q4 -- sorry, Q3 now is very strong for the full year, you are now guiding for more than 40% margin. Does that trigger a dividend event going forward, if at all? So if you could talk about that. So these are the 3 questions. I will get back in the queue for more.
Unknown Executive: Thank you for your questions. On your first question, EBITDA margin, traditionally, we have got the highest season in the third quarter in our mobile and fixed businesses. The reason being the summer months and the back-to-school season. So we generally generate the highest margins in the third quarter. So this was the case, and in line with our expectation in the third quarter. And generally speaking, the fourth quarter is the lowest season, and that is why we are incorporating that into account for the fourth quarter and guiding for a 41.5% margin relative to our performance in the 9-month period of 42.2%. Is this a sustainable level? I mean this is really a good question because we have been enhancing our margin over the last 2 years since 2023 to be more specific by 9 points. So that's a huge margin improvement to. So for the next year, our aim is going to be to sustain these margins. And for the longer term, of course, for through operational leverage or efficiencies or transformation. So that would be the answer to the EBITDA question. The second question, how we are going to account for the concession is we did say that we will take it into our books in the fourth quarter. So what's going to happen is the fee that is $2.5 billion is going to be discounted today's value when we take it into the books. And then it will be written as CapEx. And then throughout the lifetime of the concession agreement, which is until 2050, it will be amortized on a straight-line basis. Have I answered your questions? [indiscernible]
Madhvendra Singh: Yes, the D&A charges for the 5G.
Unknown Executive: Yes, it will be more or less the same. So the amount that we are going to pay for the 5G is THB 1.4 billion. So I don't know, I mean, if it's going to be the fourth quarter or the first quarter of 2026. But when we take it into our books, it's going to be the similar methodology. So it's going to be recorded as CapEx, and it will be amortized throughout its lifetime, which is 2026.
Ebubekir Sahin: [Interpreted] Allow me to answer your dividend-related question. First of all, 2025 is not finalized yet, and we haven't seen the fourth quarter yet. So first, we need to see the year-end results. Once we complete 2025, the Board of Directors, to which I am a member, is going to make a decision to propose the general assembly for the dividend -- if the dividend to be paid. So we should definitely keep in mind one thing. The upcoming period includes our annual investment expenditures as well as the fixed line concession and 5G frequency payments. In this regard, 2026 is particularly noteworthy in terms of looking like accumulation of payments. Of course, the final decisions will be made and taken by our main shareholders. However, as in previous years, when making a dividend decision, our Board of Directors will consider our company's debt service profile, cash flow, and investment needs in the coming years.
Madhvendra Singh: If you could just details of any price hikes you have taken in the third quarter in mobile and fixed side? And the second question is on the hyperinflationary accounting. There were some talks about Turkey coming out of it. So in that scenario, hyperinflationary accounting is ended. What impact do you think will have on Telecom earnings and outlooks?
Unknown Executive: Thank you again for the questions. On the hyperinflationary accounting, the methodology and the discussions is for the -- I mean, at the first place for the legal accounts, not for the IFRS accounts, which is all the CMD accounts. So it is early to say that it's going to be abolished for the Capital Markets Board reporting. Therefore, I mean, for the time being, it would be reasonable to assume that we will continue at this -- and on the price hikes, yes, I mean, there were several price hikes in the third quarter. To recap, we did the first price hike in the wholesale FPB segment. It was, I think, along the lines of 49%, 49%. And that was followed by the second price increase in the retail segment, which was about 13% on average. And following that, these are for the new acquisitions. And following that, we did the usual thing with a 1-month lag, and we increased the prices also for the existing customer base in retail segment in August. And that was around the same level. And in mobile, there was also the second price hike of the year in August, and I think it was around 10%-ish. So I mean, it will be reasonable to say that for the time being, I mean, we are more or less done with the price increases for this year, and we are preparing our budget for the next year for the -- I mean, all of the KPIs and price increases.
Operator: The next question comes from the line of Cemal Demirtas with Ata Invest.
Cemal Demirtas: Congratulations for very good results. First of all, I would like to thank Ümit Önal for a very good performance during his time. Sincerely, I really appreciate from the investor perspective, and I'm trying to be objective as much as I can. Just I want to point out that. And I wish the best to Mr. Ebubekir Sahin. And I think it will be good for him to just get your experience when you are in the Board. So it will be definitely support for him. And I wish you the best for your term. I think it's going to be a challenging, but very interesting time. And I think most of the uncertainties ended at least in terms of the regulatory side. So I wish you the best. at all. My question is about -- the first one is about the short-term performance. In third quarter, you had very good performance. And could we see some upside risk to your estimate? Is there any specific reason for you being very cautious about the fourth quarter, or just being just conservative? That's my first question. And the second question, I think for the following years, we need -- you will need more guidance from you from this -- because this investment period time. And at least for 2026, could you mention anything about the CapEx over net sales ratio or net debt to EBITDA limits you will have during 2026 or 2027? And the third one is about the financing side. And from the previous quarters, each quarter, we had difficulty to understand the high level of FX, even if there was stability in the currency side. But with this quarter, we see real improvements in terms of the -- I don't know if there was a specific in this quarter or more stability after a very volatile second quarter. So could you give us some hint about the fourth quarter if the currency level and the interest rate -- if the currency level continues like this and the interest rates coming down slowly, could we assume a similar level of financial expenses?
Ebubekir Sahin: [Interpreted] Allow me to start and leave it to my first of all, I would like to thank you for your nice words. I mean I have been working as the CEO -- I have been working as the CEO of this company for over 6 years. And also I have been a part of the member of the Board of Directors for 3 years. Within this process, we have always carried the responsibility of abiding by the corporate governance principles, and we have always had this transparent communication with you. As of 24th of October, Ebubekir Sahin has taken over the CEO position. It's like carrying the flag from now on. He's going to be carrying this leg just like we have been doing so far, and I'm sure he's going to raise it even higher. And as we have said, I will continue as the Board of Director -- as the member of the Board of Directors, and I will be giving the best of my support. We know that, as you said, we have actually left behind a very important milestones and uncertainties behind. And now we have also got a very important momentum. And I believe Mr. Sahin is going to add better and more successful performances, which will be sustainable for the company. And then I will continue to answer your questions. I believe it would be reasonable to evaluate our 2025 operating income growth expectations by considering the base effects that emerged last year on the cost of inflation. We have recently seen some volatility in inflation with negative surprises in September and slightly positive surprises in October. As you know, our end-of-2025 inflation forecast is 29%, but we will be closely monitoring the last 2 months of data. Therefore, while our 9-month real operational growth was 12.7%, we choose to maintain our 2025 forecast at guidance at 10%. I mean, yes, if you see a positive trend in inflation over the last 2 months, we are run the risk of exceeding our 10% guidance. However, if inflation exceeds expectations, we believe our forecast is well protected and does not pose any downside risk. My friend continue to answer your question.
Ümit Önal: For your financial expenses question, I'm going to report that. The financial expenses consists of the interest payments and hedging costs. As we have discussed in the second quarter investor call, we have stated that for the second quarter, the volatility in the market impacted our hedging costs. But we are not expecting that to continue, and we expect to decline in the third quarter. So that's why our hedging cost declined for the Q3. And also the interest payments also declined with the half of the disinflation program Central Bank. And in addition to that, lastly, our total debt is declining. So the leverage ratio came to 0.6 at the moment.
Cemal Demirtas: There was one question about 2026 net debt to EBITDA and the CapEx over net sales ratio, where should that ratio be standing? Just a rough picture or indication.
Ümit Önal: For the leverage ratio, our expectation for the next year, we have stated several times in quarter calls, we said that in our operations, we don't need to borrow. We don't need additional financing since our operations generate cash. So that's why our leverage declined to 0.6 at the moment. But for the upcoming 5G and concession payments, the leverage ratio, unsurprisingly, will increase. But we can say that it will not reach to a level, let's say, to close to 2.5x. But we can say that it will make its peak in 2026. But it's going to decline since our payments will be done, and with the help of our operations with the help of its operations, we are expecting it will be well below 2.5. And after its peak, it's going to decline in the year 2027. For CapEx over revenues, we can expect since regarding the time of big investment period for 5G and concession. So we can expect similar levels of this year's CapEx over sales -- CapEx intensity ratio for the next year, maybe next couple of years for our mainly FTTH conversion and 5G rollout. But we can expect it will decline to its historic average levels in the coming periods.
Operator: The next question comes from the line of [indiscernible] with Barclays.
Unknown Analyst: Congratulations on the results and also on the changes within the team, and all the best of luck. I have just maybe one follow-up question regarding your revenues outlook or revenue growth outlook. Do you think -- I mean, this year, it has been very great 10% and looks like you're on track to achieve that. So I was wondering how sustainable is this level of revenue growth going forward, maybe for next year and after that, given the concession expansion and the 5G?
Unknown Executive: Thank you, Daniel. I think we are going through a relatively high growth period over the last couple of years because part of that was driven by the recovery from high inflationary periods. '24 and '25 have been great. We have to expect some normalization for the next year. But you're right, we have got new drivers now that we should be working on strategizing. These are the securing of the concession agreement and securing a successful result in the 5G auction as well. So we haven't finalized our budget yet. It needs a few more rounds to be completed, and we will be sharing our guidance together with the fourth quarter results. But I can tell you that we will hopefully, I mean, maintain a momentum in this business because unless an exogenous factor comes into the play, we have to be, I mean, building on this momentum. And therefore, we are hopeful and we are optimistic that we will be sharing a nice real growth together with you in the guidance. So that's all I can say at the moment. But hopefully, we will not -- I mean, keep you in the dark for too long.
Operator: [Operator Instructions] Ladies and gentlemen, there are no further questions at this time. I will now turn the conference over to Türk Telekom management for any closing comments.
Unknown Executive: Thank you. Thank you, everyone, for joining us today, and we'll see you next time. Thank you. Have a nice day. Bye-bye.
Operator: Ladies and gentlemen, the conference has now concluded, and you may disconnect your telephone. Thank you for calling, and have a good afternoon.